Operator: Hello, and thank you for standing by. Welcome to Materialise Fourth Quarter 2025 Financial Results Conference Call. [Operator Instructions] I would now like to hand the conference over to Harriet Fried of Alliance Advisors. You may begin.
Harriet Fried: Thank you for joining us today for Materialise's quarterly conference call. With us on the call are Brigitte de Vet, Chief Executive Officer; and Koen Berges, Chief Financial Officer. Today's call and webcast are being accompanied by a slide presentation that reviews Materialise's strategic, financial and operational performance for the fourth quarter of 2025 as well as the year 2025 as a whole. To access the slides, if you have not done so already, please go to the Investor Relations section of the company's website at www.materialise.com. The earnings press release issued earlier today can also be found on that page. Before we get started, I'd like to remind you that management may make forward-looking statements regarding the company's plans, expectations and growth prospects, among other things. These forward-looking statements are subject to known and unknown uncertainties and risks that could cause actual results to differ materially from the expectations expressed, including competitive dynamics and industry change. Any forward-looking statements, including those related to the company's future results and activities, represent management's estimates as of today and should not be relied upon as representing their estimates as of any subsequent date. Management disclaims any duty to update or revise any forward-looking statements to reflect future events or changes in expectations. A more detailed description of the risks and uncertainties and other factors that may impact the company's future business or financial results can be found in the company's most recent annual report on Form 20-F filed with the SEC. Finally, management will discuss certain non-IFRS measures on today's conference call. A reconciliation table is contained in the earnings release and at the end of the slide presentation. And with that, I'd like to turn the call over to Brigitte de Vet. Brigitte, can you go ahead, please?
Brigitte de Vet-Veithen: Good morning, and good afternoon. Thank you for joining us today. We're very pleased to present our fourth quarter and full year 2025 results to you today. You can find the agenda for our call on Slide 3. First, I will summarize the business highlights for the fourth quarter of 2025. Then I will pass the floor to Koen, who will take you through the fourth quarter financials. And finally, I will come back and explain what we expect 2026 to bring. When we've completed our prepared remarks, we'll be happy to respond to questions. On November 20, 2025, we rang the bell at Euronext Brussels. With this step, we completed our -- we complement our existing listing on NASDAQ with an additional European listing. The dual listing provides us with access to broader investor audience in Europe and increases the company's operational flexibility, including the option to initiate ADS and/or share buyback programs. Our NASDAQ listing remains integral to our global strategy. As a reminder, no shares were offered and no capital was raised in connection with the listing of shares on Euronext Brussels. We will trade under the same ticker symbol, MTLS as on NASDAQ. We have also announced a share buyback program of up to EUR 30 million. This program has started from January 26, 2026. And to date, we have acquired a total of 187,500 shares for a total amount just below USD 1 million. Looking at other business highlights of the fourth quarter. In Medical, as you know, our aim is to bring personalized solutions to as many patients as possible. In the fourth quarter, we surpassed the historical milestone of 700,000 patients treated with Materialise personalized solutions. More than 17,000 patients have been treated in 2025 alone. This represents a significant milestone in our journey towards mass personalization. Also, we released the new version of Mimics Flow, our Mimics platform that is a work of software solution for companies that want to develop their own personalized solution. With this new release, users benefit from enhanced functionality, a new licensing system and the new pricing structure. Let me briefly elaborate on all 3. First, as far as functionality is concerned, the users will now be able to fast track their work for high-volume applications, thanks to additional AI algorithms on the platform. They will also benefit from improvements that will make 3D planning easier and that will make case discussions with colleagues efficient in one unified platform. Second, the new licensing system gives the users more control and will reduce licensing overhead, thanks to the new end user portal where users can easily rehost, activate and deactivate licenses as needed and get uninterrupted access with little administrative burden. Third, this Mimics release enables true subscription pricing models, more closely aligning our success with that of our customers. We will gradually introduce the new models in specific markets and applications. We're convinced that the new functionality, the future-proof licensing model and the new pricing models will enable our customers to achieve our common goal, giving more patients access to personalized approaches. In Software, we have taken the next step in our open and secure software strategy, introducing 3 tailored CO-AM solutions and new enabling technologies to address the industry's growing need for workflow automation and interoperability. As you know, we have been investing in additional software capabilities beyond preprint to cover the end-to-end additive manufacturing workflows of our customers. The 3 new CO-AM offerings will address specific market segments. CO-AM Professional will deliver workflow automation and building traceability for high mix, low-volume additive manufacturing. CO-AM NPI accelerates new product introductions and qualification for series additive manufacturing parts. CO-AM Enterprise combines CO-AM Professional's expert AM preparation with full production execution and order management, also called manufacturing execution systems, delivering end-to-end workflow management for advanced users. As discussed in our Q3 earnings call, we also introduced CO-AM Brix at Formnext. CO-AM Brix is a new low-code node-based automation technology, integrating over 1,000 proven algorithms from Materialise and SDK suite and providing the possibility to incorporate external tools and libraries. Brix is part of the CO-AM platform and puts our extensive software expertise in the hands of every user. It makes it easy to automate complex recurring processes and eliminate repetitive manual work without requiring advanced programming skills. By combining real-time visualization with powerful automation, even nonprogrammers can easily build custom workloads, instantly see the impact of the design and production decisions and act on them immediately. The result is higher productivity, faster response times and ultimately, broader adoption of AM technologies. We've seen the impact of CO-AM Brix firsthand in our own production of fixed insoles, our custom 3D printed robotics. In producing these insoles, CO-AM Brix enabled us to automate almost the entire process from order to print. Nesting time dropped from 45 minutes to just 1 minute. Bill processing became 20x faster. Total build time fell by 15% and error rates fell from 10% to under 0.1%. CO-AM Brix was referred to by US build, the [ 3Dprint.com editor ] as its favorite thing at Formnext 2025. Turning to manufacturing. We continue to face headwinds in Q4. At the same time, we made progress in expanding our position in high-growth certified industries. We merged our 2 online platforms, iMaterialise and Materialise Onsite and consolidated both into a single streamlined platform. This step reflects our strategic focus on the professional 3D printing market. iMaterialise has been an important part of our history, helping to democratize 3D printing and empower designers, makers and small businesses. But as the market evolves, consolidating under Materialise on site is a natural next step to focus on our core segments and to align with the needs of professionals in the industry driving additive manufacturing forward. We have also made progress in key strategic verticals such as aerospace and defense. Today, I want to highlight 2 key projects we have been awarded in the fourth quarter. First, Materialise has been invited to join the SONRISA project as a key enabler of this funded aviation initiative led by Liebherr-Aerospace. The project aims to make quality assurance with metal 3D printed aircraft parts more reliable, repeatable and easier to certify. The consortium brings together leading aerospace and technology players, including Boeing, alongside industrial and research partners. Materialise's role is to develop data-driven quality assessment concepts that merge production and inspection data, such as images, temperature data and CT scans to support automated acceptance decisions as well as virtual testing tools that help assess manufacturability early in the design phase. Second, the Defense and Space division of Airbus awarded us the production of the Environmental Control Systems for the Eurodrone project. The Eurodrone is the first remotely piloted aircraft system natively designed for safe and reliable flights in nonsegregated airspace, giving Europe its own sovereign capability in this field. Production of the first aircraft will be in 2027 with a go-live of the parts requested from Materialise end of 2026. This order represents a significant step forward for us in this key vertical. I will now hand over to Koen for an overview of the financial results.
Koen Berges: Thank you, Brigitte. Good morning or good afternoon to all of you on this call. I'll begin with a brief overview of our key financial results as shown on Slide 6. I'm pleased to share that in the fourth quarter, our consolidated revenue grew by 6.8% year-on-year, reaching EUR 70.2 million. Our gross profit margin increased further to EUR 40.8 million, representing 58.1% of our revenue. At the same time, we delivered an adjusted EBIT of EUR 4 million, representing a high margin of 5.7% of revenue, demonstrating our ability to convert top line into strong operational results. Net profit came in at EUR 6.2 million for the quarter. Thanks to a positive free cash flow, we also strengthened our balance sheet, improving our net cash position to EUR 70.8 million, an increase of more than EUR 3 million compared to the prior quarter and EUR 10 million above the level at the end of 2024. In the following slides, I will elaborate further on these results. As a reminder, please note that unless stated otherwise, all comparisons in this call are against our results for the fourth quarter and full year of 2024. Now moving on to the consolidated revenue on Slide 7. In the final quarter of the year, our revenue reached a EUR 70.2 million, up nearly 7% compared to the same period in 2024. Materialise Medical continued its strong double-digit growth trajectory, increasing revenue by more than 16% and setting once again a new quarterly revenue record. Revenues in Software and Manufacturing stabilized with a slight decline of respectively, 1% and 2% compared to prior year. At the same time, unfavorable foreign exchange effects, primarily from a weaker U.S. dollar continued to weigh on our top line. As shown in the graph on the right, Materialise Medical accounted for 53% of our consolidated revenue in Q4, with manufacturing contributing 31% and software 16%. This further shift towards medical reflects the different growth rates across our segments. For the full year 2025, revenue totaled EUR 268 million, essentially flat compared to 2024. Medical represented 50% of total annual revenue, manufacturing 35% and software 15%. Our deferred revenue balance for software maintenance and license fees coming both from medical and software increased by EUR 3.5 million in Q4, consistent with the seasonal pattern, ending the quarter at EUR 48.8 million. Over the full year, deferred revenue related to Software license and maintenance rose by EUR 1.9 million with the total deferred revenue reported on our balance sheet at EUR 60.9 million at year-end. Let me now move on to profitability, where our disciplined cost measures and operational efficiencies have delivered notable improvements. On Slide 8, you can see that our consolidated adjusted EBITDA and adjusted EBIT results for both the fourth quarter and the full year 2025. In Q4, consolidated adjusted EBITDA reached EUR 9.5 million, more than double the EUR 4.3 million recorded in the same period of last year, with an adjusted EBITDA margin now of 13.6%. Adjusted EBIT improved sharply to EUR 4 million compared to a loss of minus EUR 1.2 million in Q4 of 2024, delivering now a strong adjusted EBIT margin of 5.6% -- sorry, 5.7%. These improvements were driven by higher revenue, increased gross margin percentage and lower operating expenses when adjusted for nonrecurring costs. For the full year, adjusted EBITDA rose to EUR 32.4 million, representing a margin of 12.1%, while adjusted EBIT increased to EUR 10.6 million with a margin of 4%. With revenue stable year-on-year, this enhanced operational profitability reflects the shift in focus towards key markets, disciplined cost control and the impact of targeted cost reduction measures implemented throughout the year. These results demonstrate our ability to strengthen profitability even in challenging macroeconomic environment. Let's now review the performance of our individual business segments, starting with Materialise Medical. As shown on Slide 9, you will notice that revenue grew by 16% in the fourth quarter to EUR 37 million, another quarterly revenue record. The strong performance was driven by a 23% increase in Medical Devices and Services revenue, supported by growth in both our direct and partner channels. Medical Software revenue remained stable compared to a strong Q4 in 2024 and is further up from prior quarters of 2025. In line with the top line growth, adjusted EBITDA rose to EUR 13 million from EUR 9.5 million of last year, delivering a robust margin of 35%, fueled primarily by scaling effects. For the full year, Medical segment revenue increased by 15% to EUR 134 million, with adjusted EBITDA reaching EUR 43 million and an annual margin of 32%. Throughout 2025, we further intensified our R&D investments to support future growth of this business unit. Slide 10 summarizes the results of our Materialise Software segment. In the fourth quarter, software revenue held steady at around EUR 11 million despite the impact of unfavorable ForEx effects and our ongoing transition to a cloud and subscription-based business model. Compared to earlier quarters, the segment continued its steady upward momentum, delivering successive quarterly revenue increases. Recurring revenue from software maintenance and license sales, including CO-AM, grew by 4% year-on-year in Q4, while nonrecurring revenue declined by 19%. Even with a stable top line, disciplined cost management enabled us to significantly improve adjusted EBITDA to EUR 1.7 million, resulting in an adjusted EBITDA margin of 15.5%. For the full year, the Software segment revenue totaled EUR 41 million, down 7% from 2024 with adjusted EBITDA at EUR 5.5 million and a margin of 13.4%. Recurring revenue accounted for approximately 82% of total software revenue in 2025, up from 74% the year before, demonstrating the progress in our business model transformation, which we anticipate to complete in 2026. Lastly, for our segments, let's look at manufacturing on Slide 11, where macroeconomic headwinds continue to pose challenges, but strategic wins are paving the way for future growth. In the fourth quarter of 2025, the performance of our Manufacturing segment remained soft, with revenue declining 2% year-on-year to EUR 22.2 million. Persistent macroeconomic headwinds continue to weigh on demand, particularly in prototyping. We also experienced further growth in our strategic markets and in series manufacturing. Notably, the successful closure of several major commercial contracts in aerospace and defense at year-end, as also mentioned already by Brigitte, will support our ongoing transition and will contribute to the results in coming periods. Given the lower top line, adjusted EBITDA for the quarter ended negatively at minus EUR 2.2 million. For the full year, manufacturing revenue declined by 13% to EUR 92.5 million with adjusted EBITDA of minus EUR 4.2 million, representing a negative margin of 4.6%. With the segment results covered, Slide 12 outlines our consolidated income statement, showing the drivers behind our improved quarterly profitability. In Q4, gross profit reached EUR 40.8 million, representing a strong gross profit margin of 58.1%. For the full year, the gross margin was 57.1%, up from 56.5% in 2024. Operating expenses in the quarter were stable at around EUR 39 million, while 2025 included significant nonrecurring items, which were primarily related to our Euronext listing. These one-off costs amounted to around EUR 750,000 in Q4. For the full year, operating expenses increased by just 1.5% compared to 2024, with the main increase driven by higher R&D investments. Net operating income was with EUR 1.3 million in the quarter, consistent with EUR 1.4 million of last year. For the full year, this figure was EUR 3.8 million versus EUR 4.2 million in 2024. As a result of these factors, our operating result in Q4 was also positive at EUR 3.1 million compared to a loss of minus EUR 1.3 million in the same period of last year. Full year operating results came in at EUR 8.9 million versus EUR 9.4 million in 2024. In Q4, our net financial income was EUR 2.4 million, reflecting currency exchange results, interest income from our cash reserves, offset by interest expenses on our debt. Income tax was also positive at EUR 0.7 million, in line with last year. Altogether, the net profit for the quarter was EUR 6.2 million or EUR 0.11 per share, more than double last year's EUR 2.9 million or EUR 0.05 per share. For the full year, net profit totaled EUR 7.7 million or EUR 0.13 per share. Finally, let's review our balance sheet and cash flow position, which remains a key strength for Materialise. In Q4 of 2025, our balance sheet remains solid. Cash reserves at year-end increased to EUR 134 million, while gross debt amounted to EUR 63.1 million. This resulted in a net cash position of EUR 17.8 million, an improvement of nearly EUR 10 million since the start of the year, driven primarily by strong free cash flow. Compared to the balance sheet at year-end 2024, net working capital components increased by EUR 3 million. Total deferred revenue income stood at EUR 60.9 million, of which EUR 48.8 million was related to deferred revenue from Software license and maintenance contracts, as mentioned earlier. In Q4, cash flow from operating activities was positive at EUR 5.3 million, slightly below the prior year's quarter as higher P&L contributions were offset by negative working capital movements. Capital expenditures totaled EUR 4.4 million, including EUR 2.1 million in nonrecurring investments. Repayment of a convertible loan by Fluidda, together with received government grants for investments contributed further to a positive free cash flow of EUR 4.5 million in the quarter. For the full year, our operational cash flow was more than EUR 25 million with the variance versus last year mainly driven by working capital movements. Lower investment levels improved free cash flow significantly to over EUR 15 million in 2025. Over that same year, CapEx totaled EUR 16 million, around 6% of our revenue, split between recurring and nonrecurring investments. Nonrecurring CapEx fell to EUR 9 million in 2025 and included investments in ACTech's new facility and additional solar panel installations at various production sites. The recurring CapEx of EUR 7 million was primarily focused on machinery, printers and upgrades of our IT landscape. And with that, I'd like to hand the call back to Brigitte.
Brigitte de Vet-Veithen: Thank you, Koen. Let's turn to Page 14 for a quick review of our financial guidance. Looking forward at 2026, we see our 3 segments evolving at a different pace. We remain confident that our Materialise Medical segment will continue growing at a double-digit pace. Our Materialise Software segment will complete the transition towards a cloud-based subscription business model in 2026 and will continue its investments in a broader AM software ecosystem. Our Materialise Manufacturing segment will intensify its ongoing shift towards series manufacturing and dedicated focus sectors. But we expect macroeconomic headwinds in the industrial market segment to persist throughout 2026. As a result, we expect revenue for 2026 to land in the range of EUR 273 million to EUR 283 million. We will continue investing in our Materialise Medical and Software segment while maintaining disciplined cost control and optimization, in particular in our Materialise Manufacturing segment and in our overhead. As a result, we expect our adjusted EBIT to reach EUR 10 million to EUR 12 million for fiscal year 2026. At the same time, we will continue to actively pursue strategic M&A opportunities with EUR 134 million of cash and cash equivalents on our balance sheet, an improved net cash position and consistently positive operating and free cash flow, we are financially strong and well positioned to further drive innovation and capture emerging market opportunities. This concludes our prepared remarks. Operator, we're now ready to open the call to questions.
Operator: [Operator Instructions] Our first question comes from the line of Troy Jensen with Cantor Fitzgerald.
Troy Jensen: Congrats on the nice results. I guess I want to focus on the Manufacturing business. I think the math implies this, but are you assuming that Manufacturing is going to be down this year on a year-over-year basis?
Brigitte de Vet-Veithen: Can you repeat the question because the line was not very clear.
Troy Jensen: Yes. I guess the math kind of implies if Medical is growing double digits, that Manufacturing is going to be flat to down, would you confirm that?
Brigitte de Vet-Veithen: Yes, that's a correct assumption. So we assume that the current trends that we see driven by the weaker industrial climate, in particular in Europe, will continue to weigh on the manufacturing results, in particular on the prototyping segment.
Troy Jensen: Okay.
Brigitte de Vet-Veithen: At the same time, we do expect the opportunities in those focus segments that we have been developing not only in the last quarter of 2025, but throughout the year, will continue to show growth. So aerospace and defense, in particular, are segments, as you know, that we're focusing on. Now 2026, we will not see full results of those investments in those focus segments yet because those sectors take a little bit of time to develop. So that's also why we remain a little cautious in our outlook for manufacturing in 2026.
Troy Jensen: Yes, that's fair. Any estimate on what percentage of manufacturing is for prototyping applications for you guys?
Koen Berges: That's a percentage, Troy, that we haven't disclosed yet. We're looking into that if we can do that at some point. Nevertheless, I think numbers and the decline we show in prototyping indicate that it's still material part or a significant part of our business. It is going down quarter after quarter. We're picking that up in our new segments and strategic segments, but that transition is taking time. And for now, it still represents a fair share of our manufacturing business.
Troy Jensen: Okay. Understood. I guess then my question underneath all this is, I guess I know a lot of other 3D printing and CNC machine shops that are nicely EBITDA profitable at lower revenue levels. Is there more you guys can do to like take out costs and that EUR 90 million in annual sales, can you get to an EBITDA breakeven in the Manufacturing business?
Brigitte de Vet-Veithen: So the strategy that we have is to focus on those segments where we see not only growth in the longer term in terms of additive. But at the same time, those are sectors where we believe we can differentiate and we have unique capabilities to offer. Now why do I mention this to your question? Well, that implies that we believe a stronger margin will be generated in those segments because we are just more uniquely positioned. So that's one. At the same time, undoubtedly, we will continue to work on cost optimization, I would call it, in our manufacturing segment and overhead across the company.
Troy Jensen: Okay. And then my last question is for Koen here. The OpEx, I want to ask about. In Q4, if you add all the 3 line items for OpEx, it was about EUR 39 million. In Q3, it was EUR 36 million. So we had like a EUR 3 million sequential increase in OpEx. Was there anything onetime-ish in Q4? Or is that the type of OpEx? Should we be modeling about EUR 39 million in OpEx in Q1?
Koen Berges: No. Q4 is distorted to a certain effect with the -- mainly the nonrecurring costs related to the Euronext listing, and that is an amount of around EUR 750,000. So that is certainly an amount that you should take out of the baseline. And I think for the rest in general, we see typically our general operating costs a bit higher in the fourth quarter. So if you make a full year projection, I should not base entirely only on the fourth quarter, but level it out a bit across the multiple quarters of the year.
Operator: Ladies and gentlemen, I'm showing no further questions in the queue. I would now like to turn the call back over to Brigitte for closing remarks.
Brigitte de Vet-Veithen: Thank you, and thank you all for joining us today. We look forward to continuing our dialogue with you through investor conferences or in one-on-one meetings or calls. And I'm also looking forward to meeting some of you in person at the upcoming AMS conference and the AOS event in the U.S. In the meantime, please reach out if you have any questions. Thank you, and goodbye for now.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.